Operator: Good day, ladies and gentlemen, and welcome to Pixelworks Incorporated Second Quarter 2018 Earnings Conference Call. I will be your operator for today's call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will conduct a question-and-answer session. This conference call is being recorded for replay purposes. I would now like to turn the call over to Pixelworks CFO, Mr. Steve Moore.
Steve Moore: Good afternoon and thank you for joining us today. With me on the call is Todd DeBonis, Pixelworks' President and CEO. The purpose of today's conference call is to supplement the information provided in our press release issued earlier today, announcing the company's financial results for the second quarter 2018. Before we begin, I would like to remind you that various remarks we make on this call, including those about our projected future financial results, economic and market trends, and our competitive position, constitute forward-looking statements. These forward-looking statements and all other statements made on this call that are not historical facts are subject to a number of risks and uncertainties that may cause actual results to differ materially. All forward-looking statements are based on the company's beliefs as of today, Thursday, August 2, 2018, and we undertake no obligation to update any such statements to reflect events or circumstances occurring after today. Please refer to today's press release, our Annual Report on Form 10-K for the year ended December 31, 2017, and subsequent SEC filings for a description of factors that could cause forward-looking statements to differ materially from actual results. Additionally, the company's press release and management's statements during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms, including gross margin, operating expenses, net income loss, and net income loss per share. These non-GAAP measures exclude inventory step-up and backlog amortization, amortization of acquired intangible assets, stock-based compensation expense, restructuring expenses, discount accretion on convertible debt fair value and extinguishment of convertible debt. With the exception of stock-based compensation all of these adjusting items are related to the acquisition and integration of ViXS Systems. We use these non-GAAP measures internally to assess our operating performance. The company believes these non-GAAP measures provide a meaningful perspective on our core operating results and underlying cash flow dynamics. But we caution investors to consider these measures in addition to, not as a substitute for, nor superior to, the company's consolidated financial results as presented in accordance with GAAP. Included in the company's press release are definitions and reconciliations of GAAP to non-GAAP net income, and GAAP net income loss to adjusted EBITDA, which provide additional details. With that said, I will now turn the call over to Todd for his opening remarks.
Todd DeBonis: Thank you, Steve, and good afternoon to those joining us on today's call. Highlighting our second quarter financial results was the achievement of over 25% sequential growth, driven by strong demand in projector and expanding volume shipments in mobile. Consolidated revenue of $19.3 million was above the high end of our guidance range and represented over 20% year-over-year growth after adjusting for the end-of-life revenue recognized in the first half of 2017. Operating expenses were in line with our guidance and we delivered breakeven EPS on a non-GAAP basis for the second consecutive quarter. With that, I'll now provide updates on each of our end markets beginning with our core digital projector business. As anticipated we had strong sequential growth in projector. With revenue increasing over 30% following typical seasonality in the first quarter, the increase in orders and revenue during the second quarter extended across multiple customers, which serves as a positive indicator on the health of the overall projector market. We remain well positioned in the three LCD portion of the projector market and we continue to have strong relationships with all of our existing customers. Additionally, our team continues to execute extremely well in the co-development of the next generation SoC for a large projector customer. We remain on track to release this new solution for production by the end of this year. We currently expect to achieve the final development milestone in the third quarter, which will result in an approximately $2 million offset to R&D in the back half of the year. In addition to future sale of this new SoC to our large co-development customer, upon completion of the chip we expect to further enhance Pixelworks return on this investment by leveraging the resulting intellectual property in similar solutions to our other projector customers. Near term we continue to have good visibility into customer demand and channel inventories are consistent with normal seasonal patterns. Bookings for the current quarter are very solid resulting in our expectation for continued sequential growth in our projector business in the third quarter. Turning to video delivery, which performed largely as expected during the second quarter. Having successfully completed the majority of our initiatives to streamline this business, we've increasingly been focused on building a robust and sustainable pipeline of new video delivery engagements while simultaneously preparing for the ramping growth that we anticipate in the second half of the year. During the quarter, we announced multiple wins for our transcoding chips in newly launched OTA devices. The first of these wins was with AirTV and the incorporation of Pixelworks XCode 5116 in the AirTV OTA streaming device. Following AirTV soft launch late last year, in May they officially launched the new AirTV solution which enables the wireless streaming of free HD over the air channels to internet connected TVs and mobile devices. Unique to the AirTV solution is its ability to seamlessly integrate available OTA channels with the Sling TV OTT channels in a single streamlined app. Then in collaboration with MaxLinear, we also announced our XCode 5516 was selected by Nuvyyo's Tablo Dual-Lite OTA DVR. At the core of this advanced streaming devices Pixelworks powerful OTA solution which enables adjustable bitrate streaming as well a dual stream, real-time transcoding of native MPEG-2 format to the more efficient H.264 format. In addition to simultaneous streaming of two HD OTA channels over either WiFi or Ethernet connection, this new Tablo OTA device offers built-in recording functionality with expandable storage. Both AirTV and the Tablo streaming device represent meaningful advances in the usability, functionality and performance of OTA solutions at a lower price point for consumers. Pixelworks advanced transcoding technology is a key enabler of these are other OTA streaming devices. And we continue to work aggressively with both customers and other players in the ecosystem to simplify and promote further innovation in next generation OTA devices. As one example of these efforts, we've recently announced the availability of an innovative new solution for incorporating Pixelworks OTA streaming technology in networking hardware based upon Qualcomm Mesh Networking Platform. Developing close collaboration with this leader in connectivity, this Mesh OTA offering provides manufacturers of wireless networking products with a compelling combination of Qualcomm's video of Mesh features and built-in live HD DTV streaming capability, leveraging Pixelworks advanced transcoding technology. The first commercial demonstration of this solution were shown to perspective networking equipment manufactures at Computex in June. We believe Mesh OTA represents a compelling long-term growth opportunity for Pixelworks. Our other primary area of focus within video delivery continues to be the consumer electronics markets in Japan. Today we're well positioned on multiple customer programs to incorporate our XCode family of advanced decoding and transcoding SoCs in their next generation devices. Many of these programs are specifically targeted at Japan's anticipated rollout of new advanced TV broadcast standard called ADSB-T which supports over-the-air terrestrial broadcast in 4K and HDR quality. The transition to this new ADSB-T standard in Japan is scheduled to go live in December of this year and is expected to result in a meaningful upgrade cycle. As a significant number of Japanese consumers especially those that have existing 4K TVs will need to purchase new compatible equipment in order to take advantage of the ADSB-T's higher quality broadcast signal. We currently had existing backlog for our XCode processors in advance of planned customers product launches later this year. These product launches are expected to include a combination of converter boxes as well as full PVR set top devices. Both of which will leverage Pixelworks advanced decoding and transcoding technology. As we look to the third quarter, we expect an initial ramp of shipments in support of existing wins for customer programs to drive sequential growth in our video delivery business. Consistent with our prior commitment we also anticipate our video delivery to the EPS accretive beginning in the third quarter as a result of our previous actions to streamline the business following our acquisition of ViXS in 2017. Now turning to mobile, across several metrics we made definitive progress on our mobile initiative during the second quarter. Although admittedly from a small base revenue from mobile grew 66% sequentially and was up 29% year-over-year. Mobile revenue in the quarter primarily consisted a follow-on orders and support of Xiaomi BlackShark gaming smartphone which we highlighted on our previous call. As well as the initial production orders associated with inventory builds for ASUS ROG or Republic of Gamers' smartphone. ASUS ROG is also the first launched smartphone to incorporate Pixelworks 4th Generation Iris Processor. The ROG phone features a 2160 by 1080 resolution AMOLED display that has over 100% DCI-P3 Wide Color Gamut and 90 Hertz refresh rate. All of which rely on leveraging Pixelworks Iris mobile processor. Another unique aspect of this smartphone is an optional TwinView Dock accessory to view and play games on external displays. In this docking accessory also incorporates our 4th Generation Iris to ensure equivalent image and video quality. The ASUS ROG phone is expected to be available for purchase in select markets in Asia and Europe starting later this month followed by expanded availability and additional regions and markets in the coming months. As evidenced by our wins in Xiaomi BlackShark and ASUS ROG there has been a recent emergence of smartphones targeted specifically for gamers. As global smartphone unit volume plateaus growth for established mobile OEMs is increasingly dependent on capturing incremental market share. We believe this will drive OEMs to identify or create new sub-segments of the market in which to compete such as targeted avid gamers. Moreover, our belief is that many OEMs prefer to compete based upon differentiated features and performance in a defined segment of the market as oppose to competing more broadly based purely on price. These market dynamics are advantageous for Pixelworks. In fact we're seeing increased emphasis and focused being placed on high quality displays across our existing customer engagement including growing interest in OLED and bezel-less display applications as well as advanced video processing capabilities such as Pixelworks industry leading nemec [ph] technology. Following the notable increase in customer interest and active programs, we experienced over the last few quarters. We further expanded our number of customer engagements again in the second quarter and we currently have the largest pipeline of active programs since launching Iris. It's important to recognize that engagements are process and they don't convert to revenue overnight. That being said, based upon the collective status of our existing and new programs we expect another quarter of sequential growth in the third quarter and as such we anticipate being able to announce multiple new mobile wins with shipments to an increase number of mobile customers during the second half of this year. Lastly during our first quarter conference call, we felt it was prudent to indirectly acknowledge a particular China OEM customer that was having trouble with US Department of Commerce. I think we are all familiar with the associated headlines since our last conference call. So I want to provide a brief update. Undoubtedly we're encouraged by what appears to be a laughing resolution and we're now actively reengaged with this customer. With that said, going forward we're going to handle this customer engagement [indiscernible] respective programs as we would any other customer by deferring any comments or updates until after the customer has publicly launched their respective products. To close out my prepared remarks, our strong second quarter growth was further highlighted by a notable progress and new wins across both our mobile and video delivery businesses. As I've stated in the past, the market is continuing to move in a direction of Pixelworks. Video consumption trends among consumers are increasingly importance and demand for high quality display. Which in turn is enhancing the need for image and video processing solutions? All of which provide further validation of the value proposition of Pixelworks advance display technologies. As our pipeline of customer and program engagements have expanded we've focused our team on being more selective with new customer engagements. As a result we believe we've also increased the quality of our existing pipeline. Looking to the third quarter, we expect sequential growth across projector, video delivery and mobile. Specific to mobile, our current expectations include the announcement of multiple new wins during the second half of the year. Additionally we anticipate our video delivery business to be accretive in the third quarter and begin contributing to our improving profitability. With that, I'll turn the call over to Steve for more detailed review of our second quarter financials and our guidance for the third quarter. Steve?
Steve Moore: Thank you, Todd. Revenue for the second quarter 2018 was $19.3 million which reflected the combination of seasonal growth in our digital projector business and expanded shipments of Iris mobile processor in support of new smartphone launches at multiple customers. For comparison, revenue in the first quarter of 2018 was $15.3 million and in the second quarter of 2017 was $20.7 million which included $5.1 million of legacy end-of-life product revenue. The breakdown of revenue during the second quarter was as follows; revenue from digital projector was approximately $16.1 million. More revenue was approximately $720,000 and revenue from video delivery was $2.1 million. Additionally, we recorded approximately $320,000 of legacy TV and panel products sold. Non-GAAP gross profit margin was 52.7% million in the second quarter of 2018 compared to 54.2% in the first quarter of 2018 and 54.4% in the second quarter of 2017. Non-GAAP operating expenses were $10 million in the second quarter of 2018 compared to $7.8 million in the first quarter of 2018 and $7.6 million in the second quarter of 2017. Operating expenses in the both the first quarter of 2018 and second quarter of 2017 reflected the recognition of approximately $2 million offset to R&D associated with our co-development project with a large projector customer. Adjusted EBITDA was $1.1 million in the second quarter of 2018 compared to $1.3 million in the first quarter of 2018 and $4.7 million in the second quarter of 2017. A reconciliation of adjusted EBITDA to GAAP net income loss maybe found in today's press release. We reported non-GAAP net loss of $140,000 or breakeven on a per share basis in the second quarter of 2018 compared to non-GAAP net income of $38,000 or breakeven on a per diluted share basis in the prior quarter and non-GAAP net income of $3.2 million or $0.10 per diluted share in the second quarter of 2017. Moving to the balance sheet, we ended the second quarter with cash, cash equivalents and short-term investments of approximately $20.2 million, a decrease of $7.3 million from the end of 2017 reflecting the payoff of all remaining convertible debt that we acquired as part of ViXS as well as reflecting cash used in operations during the first half of 2018. Other balance sheet metrics included day sales outstanding of 31 days at quarter end compared with 26 days at the end of the first quarter 2018. Inventory turns during the second quarter 2018 were 13.7 times compared to 12 times in the prior quarter. Our guidance for the third quarter of 2018 is as follows. We expect revenue to be in the range of between $21 million and $22 million. We expect non-GAAP gross profit margin of between 53% and 55%. For operating expenses, we expect the third quarter to range between $8.5 million and $9.5 million on a non-GAAP basis. Note our expectation for operating expenses in the third quarter of 2018 include the anticipated recognition of approximately $1.6 million offsets to R&D related to our co-development project with a large digital projector customer. And finally, we expect third quarter non-GAAP earnings per share to be in the range of between positive $0.04 and $0.08 per diluted share. With that, we now open the call for your questions.
Operator: [Operator Instructions] our first question comes from Suji Desilva with ROTH Capital. Your line is now open.
Suji Desilva: On the mobile side, you're wrapping up revenue here. Can you talk about how many customers roughly are contributing to the revenue now? And then how many might be contributing it sounds like you have some announcements coming toward the end of 2018 to get a sense of how quickly the rest of the, the field comes on here.
Todd DeBonis: Suji, thanks for the question. We'll talk about what happened. You know I'm probably not going to get ahead of the customers on telling you what's going to happen. So what happened, I think we had the revenue in Q2 was major contribution was from Xiaomi BlackShark. We still had probably small contribution with ASUS from some trailing projects and then ASUS ramping up their new phone.
Suji Desilva: Okay, that's helpful. And then looking ahead - is the mix of phones going to stay gaming smartphone or do you see the traditional smartphone adoption coming as well?
Todd DeBonis: Our engagements are broad based. So I would say the initial interest most people who are trying to put us in flagships with very expensive display, right?
Suji Desilva: Right.
Todd DeBonis: And most flagship designs are the longest lead time design. Somebody design in their next-generation flagship even in China probably will take 12 to 18 months. In Korea, it's at least two years out from when they identify what they like to put in it and then what they finally decide to put it in and announce the product. The gaming market is something that's sort of picked up in the last 12 to 18 months. It seems like it's accelerating and the interest to have differentiation in the display pipeline, in the visual experience is strong. So we get a lot of interest in questions, in not all cases well they want to put our technology but in many cases, they would like to. It's a very small segment. You'll see, not today you can probably identify four phones, maybe five that are in production and are considered gaming phones. My guess is you'll see a dozen within six to eight months. But we've even seen renewed interest in the mid-tier with, they're not poor displays but they're certainly not state-of-the-art AMOLED displays and they're looking for a way to improve the [technical difficulty] in that level of phone. So to get back to your question, what area are we seeing interest it's really, it's all three.
Suji Desilva: Okay and just maybe difficult question for you to answer, but would you envision a gaming smartphone in the marketplace that does not leverage your technology, can that kind of compete with the ones that are out there, do you think kind of your table stakes for this category?
Todd DeBonis: No I wouldn't, I'm not that robust and I wish that was the case. But today the Razer phone that came out they went and they definitely used display to differentiate themselves they were the first guy to go out and put 120 Hertz display in a gaming phone, but they did not use our technology inside that phone, both ASUS and BlackShark do. I wouldn't say we're table stakes, but I would say that with some of the advanced things we're doing, you'll see us overtime try to bring advanced display processing to very high frame rate displays, which I do believe high frame rate displays will become table stakes in the gaming segment.
Suji Desilva: Okay and then last question perhaps for Steven. The gross margin here in the low-to-mid 50s year ago was kind of in the mid 50s maybe even higher. Can you talk about the remind us of long-term expectations for gross margin and what the drivers and puts and takes in the trend of gross margin have been? Thanks.
Steve Moore: Sure, our expectations are consistent for this year, consistent with our guidance sort of the mid 50s. We were a little below that or sort of the middle of the between 50 and 55 this time entirely related to mix. Our mix going forward we believe will allow us to be closer to within our range. Again it was a mix, some of the [technical difficulty] a year or so ago, [technical difficulty] in Q2 of 2017 very high margin. Going forward, we would expect mobile to be somewhat of a drag as we have currently have them at a lower gross margin contribution to our projector or video [technical difficulty]. But that will depend on a couple of things, one the strength growth of mobile and which are [technical difficulty] and the fact that we're working very hard to bring the gross margin for our mobile products in line with our projector business and we do have a lot of reason to believe that both of those two things will happen. Additionally the growth in video delivery which is slightly above our projector business it did also help in offsetting any drag we see from mobile. For the last half of 2018, I think the current guidance works well for what the people should expect.
Suji Desilva: Okay, thanks for the color Steven. Thanks guys.
Operator: Thank you. And our next question comes from Richard Shannon with Craig-Hallum. Your line is now open.
Richard Shannon: Just first question on the projector market and Todd I'm not sure if I caught your comments directly because my line was kind of clicking in and off. But can you state what you believe the inventory position with your customers [indiscernible] new chips here and I think also last call you talked about the market being flat up this year that's still your current view of the market?
Todd DeBonis: Current view of the market still flat to up, I think our order pattern is consistent with that. We do reasonably good inventory checks, what we don't have access through is the end product inventories, but checks we have in the manufacturing pipeline they're leaned to [technical difficulty] they're good, they're not abnormal at all. So I don't expect to - any kind of major [technical difficulty].
Richard Shannon: Okay and a follow-up on the projector topic, Todd as you look into next year is there any reason why the projector market couldn't be at least flat and obviously you're having a very good year-on-year growth rate excluding the EOL's. And should we think about Pixelworks continuing to gain share and therefore growing faster than that flat, flat market. But I'll guess answer the first part of that question as well.
Todd DeBonis: There's a [technical difficulty] segment of the projector market, today we're not really participating in it, it's called Pico Projectors or with [technical difficulty] some people in China market then there is screen less TV and they're low lumen. Predominantly DLP based projectors and fairly [technical difficulty] I would say you know sub $500 all the way down, I've seen them as low as $100, right? And it truly is for the - they're predominantly selling and it's for the migratory workforce there instead of hauling around a big LCD TV. They haul around in one of these little Pico projectors and shine around the wall. And it has media processing inside of them. That is a from a unit basis is the real growth of the projector market, that could grow to in 2019 maybe 300,000 units and probably couple years after that to 500,000 units. The rest of the market is fairly flat. Where there with an event like the World Cup or the Olympics you might see some increase in sales but in the off years when you don't have them, you could see a contraction side. Right now we're just modeling flat unit growth, we're looking at some things to participate in this lower ASP pico projector but they're probably beyond 2019. So if I was modeling our projector business I wouldn't model growth.
Richard Shannon: Okay, perfect. That's very helpful. Todd. Question to your video delivery business, you talked about couple wins with OTA. Wondering if you could characterize the potential size of these and any other kind of big opportunities that might exist out there. I know early this week Apple CEO talked about the [indiscernible] perhaps accelerating faster than previously expected and wondering if that's signaling any large players getting in this market and providing more opportunity for you.
Todd DeBonis: There's a lot of discussion, right. So I'm bullish. If you look at the trend eMarketer put out a PR piece and a lot of people have been quoting recently and they say that the quote and maybe this was where Mr. Cook was leaning on, they say is that cord-cutting is accelerating this year, they expect people that do not have traditional linear Pay TV will be up to 33 and this is American household, 33 million this year alone and it will accelerate to 50 million in 2022 timeframe or something like this. And the trends are absolutely in the favor of cord-cutting. Now how many of those cord cutters will want to go at not only -- many of them are already adding antenna and they're supplementing their streaming services with free over-the-air content, very high quality content. But only a handful of them are actually taking devices to stream it, convert it and stream it to multiple TVs or phones or tablets both in and outside of the house or DVR that content. And that's what our customers are targeting. So Tablo and AirTV and previously antennas directing these customers were all targeting that segment of the market. It's a very - it started off as a very small portion of the market. I believe though as the cord-cutting accelerates the amount let's say as we get towards that 50 million number, how many of those households will want to have this type of advance capability for the free over-the-air channels. We absolutely believe it's in the millions of units. And the ASPs on these devices that we sell are low double digits. So for us, we're small company for us to have a profound impact on our growth, having a TAM of five to eight million units over the next several years is significant. And it's an area we really for the transcoding based solutions, we don't have any competition.
Richard Shannon: Okay, perfect. Appreciate those comments Todd. May be one last question for Steve. Steve I think you talked about R&D offset from a co-development happening in the third quarter I believe. Are there any other scheduled payments in the investment horizon that we should be thinking about or should we look at R&D pass the third quarter kind of in the fully loaded number fourth quarter and beyond.
Steve Moore: So the last milestone on that contract was achieved early in Q3 and allowing us to recognize the credit at least to invoice the credit. The amount that we'll be able to recognize in the quarter is approximately $1.6 million. The full credit, the full milestone is $2 million. So there's another $400,000 that will be recognized probably in Q4. We don't have any other contracts of that nature, not that we would not enter into another one, but if we did, we would certainly let you know. But so that Q4 would be the last piece of this.
Richard Shannon: Perfect, that's all the questions from me. Thanks Steve, thanks Todd.
Operator: [Operator Instructions] our next question comes from Charlie Anderson with Dougherty and Company. Your line is now open.
Charlie Anderson: On mobile I was curious you sort of highlighted the accessory dock that had also your solutions some content there. I wonder if these dozen or so gaming phones that you expect to see, could we see more accessory docks and maybe a high contemporary device than you would traditionally see and then I got a follow-up.
Todd DeBonis: The ROG phone is accessory rich and it comes with many accessories. And it's sold as a bundled package. The docking station is the one optional piece to it. There maybe - I take that back, there is a phone that's looking [technical difficulty] approach to do a external viewing of the - and they would be using [technical difficulty] they're using Iris technology. I don't want to get ahead of myself. I don't know, I'm not high on it Charlie, that's going to be a huge market. You never know, I think that this segment of the market is targeting avid gamers, but avid gamers that are on a mobile platform. I think if they're really [technical difficulty] on a monitor, they're probably going to have a very high end PC, it's a different gaming experience, right? The mobile gaming experience is about being with the mobility piece, right? So I think it's a nuance, I think it's interesting, but no I'm not planning on it being a big contributor. The phones themselves I'm, but not the docks.
Charlie Anderson: Got it, okay. And then on the video delivery side, you talked about OTA, I'm curious you had some other pieces of business that I know there was an opportunity in Japan, with set top box. I just wonder how that's playing out and do you expect to see some growth there, the rest of the year.
Todd DeBonis: That's a very good question because that was a nuance in my prepared remarks that maybe didn't come out completely clear. This is probably the, this is what's really driving the sequential growth in Q3 and we'll drive, I would say the majority of the growth for the video delivery business probably through 2019. I mean we saw high expectations for OTA, but this ADSB new broadcast standard it's a 4K HDR broadcast for Japan and Japan's been working on it for a while, it's been, they've had trial channels out for the last two years from their development to work on. It's expected to go live in December. And new TVs are starting to be introduced that are ADSB capable, but they're just starting to be released for availability. There's approximately by the time we get to the end of the year, there's probably 10 million 4K HDR TVs sold in Japan that do not have an ADSB tuner [indiscernible] they can't receive the signal, they're 4K, they're HDR. There's a lack of content that can really accentuate which is the reason why these individuals bought these TVs. But you would need either a converter box or you will need an advanced PVR that has ADSB capabilities which will become your converter box, but will also record the content. This is unique to Japan right now when there is a lot of people that have these boxes. They also can rip them right on Ultra High Definition Blu-ray disc to store them as long as they have the - they come with this content access system. So as long as they have the rights to do that they can do it. This is a segment of market we want some good design wins with top two player in the market. And so we expect the opportunity for us over the next several years is in both these converter box [technical difficulty] and upgrades of the PVR segment. If you [technical difficulty] a decade ago when HD was transitioning in, the peak year of this PVR market they shipped I think eight million PVRs into the Japanese market. It since subsided down to sort of stable run rate of about two million a year, they come out with some advanced features etc. but it's refreshing to the homes that exist to have them. There was no real catalyst to drive a big upgrade cycle. This new broadcast standard is a catalyst. I don't know how many people will go out and tune into them, but the opportunity is clearly there and the initial stocking orders we're getting from our partners say that they're trying to get ahead of the curve and be prepared for the demand.
Charlie Anderson: Got it. Thanks so much.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to management for any further remarks.
Todd DeBonis: So continuing on the journey of making progress on our growth initiatives in mobile and video delivery. I think going into Q3 we've turned the corner, the video delivery business is now accretive and the engagements in mobile are they're definitely stretching the resources of the company and so, we need to go convert them. Get our customers to release and get to revenue, but right now all the indictors are very positive. Look forward to giving you another update in three months.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.